Operator: Good day, everyone, and thank you for standing by. My name is RJ, and I will be your conference operator today. At this time, I would like to welcome everyone to the Nexxen Second Quarter Earnings Call. [Operator Instructions]. This call is being recorded, and a replay of today's call will be made available on Nexxen's Investor Relations website. I will now hand the call over to Billy Eckert, Vice President of Investor Relations, for introductions and the reading of the safe harbor statement. Billy, please go ahead.
William Eckert: Thank you, operator. Good morning, everyone, and welcome to Nexxen's second quarter earnings call. During today's call, we will discuss our financial and operating results for the 3 and 6 months ended June 30, 2025, as well as our forward-looking guidance. With us on today's call are Ofer Druker, Nexxen's Chief Executive Officer; and Sagi Niri, the company's Chief Financial Officer. This morning, we issued a press release, which you can access on our IR website at investors.nexon.com. During today's conference call, we will make forward-looking statements. All statements other than statements of historical fact could be deemed as forward-looking. We advise caution and reliance on forward-looking statements. These statements include, without limitation, statements and projections regarding our anticipated future financial and operating performance, market opportunity, growth prospects, strategy, financial outlook, partnerships and anticipated benefits related to those partnerships, anticipated benefits related to the company's intended growth and platform investments, forward-looking views on macroeconomic and industry conditions as well as any other statements concerning the expected development, performance and market share or competitive performance relating to our products or services. All forward-looking statements are based on information available to us as of the date of this call. These statements involve known and unknown risks, uncertainties and other factors that may cause our actual results to differ materially from those implied by these forward-looking statements, including unexpected changes in our business or unexpected changes in macroeconomic or industry conditions. More detailed information about these risk factors and additional risk factors are set forth in our filings with the U.S. Securities and Exchange Commission, including, but not limited to, those risks and uncertainties listed in the section entitled Risk Factors in our most recent annual report on Form 20-F. Nexxen does not intend to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Additionally, the company's press release and management statements during this conference call will include discussions of certain measures and financial information in IFRS and non-IFRS terms. We refer you to the company's press release for additional details, including definitions of non-IFRS items and reconciliations of IFRS to non-IFRS results. At this time, it is my pleasure to introduce Ofer Druker, CEO of Nexxen. Ofer, please go ahead.
Ofer Druker: Thanks, Billy. In Q2, we delivered strong results that also reflected growth in data and tech licensing revenue, underscoring the strength of our diversified platform offering. We have continued to execute against our core strategy, making meaningful advancements across CTV, data, AI and our end-to-end tech platform that further position us for long-term growth and market share gains. In CTV, we renewed and expanded our strategic partnership with VIDAA, securing exclusive access to inventory for our customers while creating significant long-term monetization potential for Nexxen starting in 2026. The agreement also extends our exclusive global access to BDAS ACR data, strengthening our long-term TV data footprint and capabilities, accelerating our shift into tech and data licensing and reinforcing our position as a leading ad tech data provider. We have also made important strides on our AI strategy, particularly with the Nexxen data platform, integrating transformative capabilities into Nexxen Discovery, which are already enabling customers to better harness the full power of our platform. With strong momentum and ongoing innovation, we are confident in our ability to build on our tech, data, CTV and AI leadership and create impressive value for our customers across the ecosystem. In Q2, we introduced nexAI, a suite of AI-powered assistance and features designed to enhance efficiency and results across planning, activation, optimization and monetization. NexAI combines proprietary data, machine learning and generative AI to deliver even more powerful cutting-edge capabilities. We have been innovating quickly, already releasing an AI assistant within the Nexxen DXP and generative AI-powered solution within the Nexxen data platform, including the nexAI Discovery Assistant. Since launch, nexAI has been adopted by over 100 combined users, including some of our largest agency and brand customers with early feedback signaling productivity gains, improved outcomes and more time for high-value strategic initiatives like winning new business. By streamlining insights and automating reporting, nexAI is delivering what customers need most, faster access to actionable data and better returns. It's accelerating the benefits of our integrated tech and data stack, and we expect it will continue driving even stronger results, deeper engagement and broader adoption over time. We plan to roll out enhanced AI-driven SSP functionality and broader platform integration later in 2025 and in 2026, which we expect will further enhance usability, performance and Nexxen's overall value proposition. Our AI teams are now focused on both driving customer-facing investments that fuel performance and revenues and internal efficiencies that accelerate development cycle and support long-term margin expansion. We believe these investments will further support sustained increasingly profitable growth in the quarters and years ahead. Our AI opportunity is massive and with unique tech and data infrastructure, Nexxen is well positioned to continue delivering smarter, faster AI-powered solutions for both sides of the industry. Our ability to renew and expand our unique strategic partnership with VIDAA is an important achievement that meaningfully strengthened our leadership and growth positioning within the global CTV ecosystem. Through the agreement, we extended our global ACR data exclusivity and secure exclusive ad monetization rights on VIDAA Media in North America through at least the end of 2029. This enabled Nexxen to deliver premium CTV inventory unavailable anywhere else while reinforcing our position as the data platform in ad tech. As one of the only platform with exclusive global TV data access outside the OEM ecosystem, this renewal strengthen our open holistic approach and amplify our data advantage. Since 2022, we have laid the foundation for long-term growth with VIDAA establishing leadership position in key international markets and Nexxen building the infrastructure to ingest and integrate VIDAA's ACR data into the Nexxen data platform. This updated agreement marks a shift from building the foundation to scaling commercial value during a time of rapid global expansion for VIDAA. For example, through its recent partnership with Baxter, VIDAA will significantly increase its European CTV footprint, enhancing Nexxen international growth opportunities. Together, we will now focus on scaling North American revenue, expanding international amortization, growing in-stream ad inventory and accelerating data syndication and measurement partnership. To support these efforts, we are investing an additional $35 million in VIDAA to accelerate the North America CTV expansion and unlock increased growth across the world's largest advertising market. We expect this will drive greater data scale and monetizable ad inventory, enhancing the long-term value of our exclusive rights and overall investments. Our renewed and expanded partnership extend our growth runway and we believe unlock great potential to bring tremendous value to both Nexxen and the industry. Additionally, we have continued attracting and onboarding top-tier commercial leaders from major industry players across the U.S. and international markets. These hires alongside other recent additions are gaining traction, and we believe will better position us for both near- and long-term revenue growth. We will continue to invest in bringing world-class talent to Nexxen, particularly within our commercial and media teams to support our expanding global footprint. We have also continued building momentum and visibility with Wall Street following our move to a single U.S. ordinary share listing. Since improving our structure, analyst coverage has grown 80% Investor interest is rising, and we have been added to the Russell 3000 Index. Our first U.S. Investor Day in May drew strong turnout, viewership and response from analysts, investors and banking partners, and we remain committed to active engagement across the capital markets. In Q2, we added 108 new actively spending first-time advertiser customers, including 43 enterprise self-service customers and 5 independent agencies, leveraging our self-service solution alongside 86 new supply partners. Our conviction in our strategy has never been stronger. expanded partnership with industry leaders like VIDAA and Hisense accelerate our CTV growth opportunities and reinforce our strategic role within the ecosystem. Our end-to-end model gives us an edge, and we will continue investing in enhancing and expanding platform capabilities to fuel further growth and sharpen our differentiation. We are also closely monitoring the Google AdTech antitrust case. Depending on outcomes and remedies, it could be a catalyst for Nexxen and other open Internet SSPs to achieve higher win rates and increased share gain potential. While the journey to category leadership takes time, Nexxen is well positioned for success with unmatched and growing capabilities and advantages. We are energized by the opportunities ahead and remain focused on innovating and executing to deliver long-term value to our customers, partners and shareholders. With that, I'm happy to turn the call over to Sagi.
Sagi Niri: Thank you, Ofer. In Q2, we generated contribution ex-TAC of $87.8 million, a Q2 record and a 6% increase year-over-year. Programmatic revenue also reached a Q2 record $85 million, reflecting an 8% increase compared to Q2 2024. Growth was driven by strength in data product, self-service, tech licensing and desktop revenue alongside increases across our health, travel, education and automotive verticals. In contrast, we experienced an approximately $1.7 million year-over-year decline in contribution ex-TAC from our non-programmatic business line, a decrease in display, mobile and PMP revenue and reduced spending within our retail and government verticals. CTV revenue grew 1% year-over-year to $28.4 million, marking a Q2 record despite the advertising environment being impacted by macroeconomic uncertainty, largely due to tariffs, which constrained spend from certain partners. That said, we remain confident in our long-term CTV revenue growth opportunity given our robust integrated CTV tech and data capabilities and expanding CTV partnerships. Outside of CTV, desktop revenue increased 3% year-over-year in Q2. Mobile revenue declined 9% and overall video revenue reflected 68% of programmatic revenue compared to 74% in Q2 2024. Elsewhere in Q2, self-service contribution ex-TAC grew 4% year-over-year and contribution ex-TAC from data products increased 76%. On the opposite side, contribution ex-TAC from PMPs and display declined 6% and 4% year-over-year, respectively. We exceeded Wall Street's adjusted EBITDA expectations, generating $29.9 million in Q2, a 12% increase from Q2 2024. This growth was driven by higher contribution ex-TAC and strong cost discipline. As a result, our adjusted EBITDA margin increased to 34% of contribution ex-TAC from 32% in Q2 2024. We remain confident in our ability to expand our margins over time, particularly as we begin to increasingly realize benefits related to our AI initiatives later this year and into 2026 and beyond. In Q2, we generated $17.4 million in net cash from operating activities compared to $20.9 million in Q2 2024. As of June 30, we had $131.5 million in cash and cash equivalents, no long-term debt and $50 million undrawn and remaining on our renewed and extended revolving credit facility. We also reported non-IFRS diluted earnings per share of $0.29 in Q2 2025 compared to $0.18 in Q2 2024 on a post-reverse split basis. In Q2, we repurchased roughly 3.9 million ordinary shares, investing approximately $39.1 million. From March 2022 through the end of Q2 2025, we repurchased roughly 34.3% of our outstanding shares, investing approximately $229.3 million and as of July 31, had roughly $7.2 million remaining on our current share repurchase authorization. On capital allocation, our Board is actively evaluating the launch of a new buyback program following completion of our current program. And as announced in Q3, we will be increasing our investment in VIDAA. Additionally, we are exploring targeted M&A opportunities, which we expect would be smaller in size than Amobee that align with our goals to expand data, enhance AI capabilities, accelerate revenue within our core business lines or enter new high-growth markets. With that, I'll turn to our outlook. We are reaffirming our prior full year 2025 guidance. We continue to anticipate contribution ex- TAC of approximately $380 million, adjusted EBITDA of approximately $125 million and for programmatic revenue to represent roughly 90% of our full year 2025 revenue. Additionally, we continue to expect year-over-year growth in both CTV and data licensing revenue in 2025. While we're closely monitoring ongoing market uncertainty related to tariffs, evolving trade policies and geopolitical tension, trends observed so far in Q3 support our confidence in meeting our full year guidance. This confidence is based on the assumption that market conditions do not significantly worsen and that there are no material adverse changes in industry dynamics or customer spending behavior. Our diversified revenue base, deepening self-service enterprise relationships and continued expansion into tech and data licensing support contribution ex-TAC resiliency. Our end-to-end strategy also continues to enable strong growth opportunities, profitability and cash flow effectively position us to manage near-term market fluctuations while investing in high potential areas that position us for long-term value creation and market share gains. We are also beginning to realize benefits from our AI investments. NexAI is seeing strong and accelerating adoption, already delivering productivity and performance gains for major customers. As AI further integrates and scales across Nexxen, we believe it will become a meaningful driver of operational efficiency, higher adjusted EBITDA and margin expansion, especially in 2026 and beyond, and we will continue investing to generate increasing returns over time. Beginning in 2026, we anticipate generating increased contribution ex-TAC related to our expanded VIDAA partnership as Nexxen monetization of VIDAA CTV's inventory and ACR data is expected to ramp in North America and across other key international markets. As Ofer mentioned, we are also continuing to invest in further strengthening our sales and media teams to more fully capitalize on the growth opportunities ahead, including those enabled by our partnership with VIDAA. Despite a complex environment, we've executed well through the first half of the year and are focused on both delivering against our guidance and strengthening the business for accelerated growth and leadership beyond 2025. Our platform advantages, data differentiation, AI momentum, expanding global partnerships and ongoing investments in innovation provide a robust foundation for long-term growth and margin expansion. We also believe our opportunity in data and CTV remains vast and in early innings. As always, thank you to our shareholders, employees and partners for your continued support. Operator, we'll now take questions.
Operator: [Operator Instructions]. Your first question comes from the line of Matt Swanson of RBC Capital Markets.
Matthew John Swanson: Ofer, it was great to hear more about the nexAI product and getting the DSP assistant that we talked about at the Investor Day. Could you talk a little bit more -- I think one of the highlights of the Investor Day was kind of going to be the power once you get the all 3 assistants up and the integrated stack of kind of like the end state of NexAI and just kind of how you can lean into that full stack differentiation.
Ofer Druker: Of course. Thank you, Matt. So as we indicated in the Investor Day and also in this report, we also started to deliver this nexAI product and enhancement to our clients, more than 100 already using it, and we are really getting great feedback from them. We are, of course, now moving to the next level of -- or the next step for us in the nexAI, which is also adding these capabilities into the SSP to the media side in order to have like a full cycle. And then, of course, naturally, the next step will be to connect all of them with another nexAI element agent that will connect all the dots and will enable agencies and clients to utilize all their strategies across the board from the DSP, DMP and the SSP, which I think will happen probably in the end of this year and early next year. So we are going now by the plan. We released the first products that are on the demand side, the data side. We already delivered them to our clients. We're getting great feedback, and we are enhancing and getting it ready for the next step, which will be the SSP side.
Matthew John Swanson: And then, Sagi, this is another quarter where we saw the adjusted EBITDA upside greater than the revenue upside. Could you just kind of talk about where you're finding the efficiencies and cost savings that you continue to deliver additional adjusted EBITDA beyond the revenue outperformance?
Sagi Niri: Sure. I think that we have like operational leverage. And as long as we are scaling the business and building it forward, we will see more and more efficiencies going forward. I think that we are seeing like very, very initial internal efficiencies coming from our nexAI internal tools and the utilization of that. Going forward, it really depends on the level of onboarding and investment that we are going to put in different initiatives. I think that we reaffirm our guidance at around $125 million of adjusted EBITDA. It looks like the trend that we will bypass that, but we are trying to be cautious, and we may invest more in the second half in order to accelerate the growth in 2026. So I think we are in the right track around that. And as we said in the past, our adjusted EBITDA margin will grow year-over-year as we are moving forward.
Operator: Your next question comes from the line of Laura Martin of Needham.
Laura Anne Martin: So my first question is on Connected Television. Your connected television revenue grew 1% year-over-year in the quarter, which is pretty slow and the slowest in ad tech for this quarter. I would have thought that your exclusive deal with VIDAA would have given you sort of a competitive advantage in connected television. So my question is, why do you think connected television revenues are growing so slowly? And is the purpose of spending another $35 million on VIDAA primarily to drive measurement revenue? Or is it somehow supposed to be helping connected television revenue growth, but it just didn't happen to have that happen in the second quarter?
Ofer Druker: Thank you, Laura. So first of all, regarding the CTV revenues, -- regarding your question about the CTV revenues, what we witnessed from the beginning of the year is like a growth. It's happening in the industry from time to time that you see trends that are a wave of new media that is coming in, like big blocks of media that is coming in, and there is not a matching demand that will cover this growth in media. So it's affecting, of course, the CPMs because people are willing to take lower CPM in order to manage and monetize their media. So we witnessed that from the beginning of the year. So the fact that we basically made a small uplift from last quarter in Q2 last year that was an amazing one for us. I think it's a good indication that we grow the number of advertisers and basically partners that are utilizing our technology and our media on the CTV front. And we believe that it will -- it's a good indication for growth in the future in our view. The point about VIDAA, I think that as we mentioned in the PR, we are a long-term player. So when we invested in VIDAA in 2022, we -- they were, by the way, then like one of the top 5 CTV delivery manufacturers and delivering TVs in the market. Now they are #2. And they keep growing and adding more capabilities to their TVs in order to get -- to be the leaders, and they are doing their best already starting in international. And from next year, they will move their attention and growth also into the U.S. And it's a long term. So the fact that what we see now that we are already starting to utilize the heavy lifting that we've done on the ACR data, ingesting and usage and licensing data for activation and measurement to ourselves and of course, and to clients is already kicking in and working for us. And we believe that in the second half of this year, it will grow and next year, it will grow a lot. And we are happy from the investment. And we always said that, first of all, we need to build the infrastructure, build the tools, build the offering, start pushing into the market. We see very good response from clients and partners. And now we are accelerating and growing -- invested another amount of money in order to grow also the North American penetration of VIDAA in order to get like a better reach in that market, which, of course, is super important to us and to VIDAA. I hope that I answered your questions.
Laura Anne Martin: And then my second question is on -- I would love your general thinking, Ofer, on this issue that investors are having with the fact that Google Search is no longer sending as much traffic into the open Internet because it's just answering questions. And so there's some fear that the open Internet is going to lose users and viewers and ad units over the next 5 years, which puts the open Internet companies like ad tech companies at a disadvantage compared to walled gardens. So could you talk about what you're seeing in terms of open Internet demand and how you feel about the long-term prospects for open Internet companies?
Ofer Druker: So First of all, I think that AI is conducting -- is making a change in the industry and the behavior of clients, including myself. Now if you want to gather information or search for something, you can use your ChatGPT in a very effective manner or copilot that you have on your computer. So I agree with the fact that -- and I saw the researchers that the number of visitors into pages, web pages went down. Basically, the number of clicks per searches according to the information that I saw went down. So if people are also even conducting a search, they are less clicking on the results because they are getting like a small summary of AI into their search and they use that in order to get their answer. So I think that it's there. I think that there are 2 basically pets that are less influenced or not influenced right now, which is CTV and mobile in-app. And we're, of course, putting a lot of emphasis on CTV for a long time. And this is an element that we believe that will keep growing. That's also, by the way, going to connect it to your first question about VIDAA, -- this is why we are investing and building the relationship with one of the biggest OEMs in the market. And we believe that we are one of the only ad tech companies that has such a relationship with an OEM and operating system like we do that is super important in order to grow your presence and your revenues coming from CTV. The second pet that is less influenced is mobile in-app that I mentioned. And we are -- we started to shift gears into that like a few months ago, and we are now enhancing it in a big manner because we believe that this is an area that will keep growing and get like the support of the market and the advertisers in order to grow this field, and we are there also in a big manner.
Operator: Our next question comes from the line of Andrew Marok of Raymond James.
Andrew Jordan Marok: Maybe this ties into your answer from the CTV question earlier, but just wanted to ask about the confidence that you guys have in the second half of the year given your guidance. So like on contribution ex-TAC, you've got growth assumptions for, I think it's about 14% year-over-year in the second half versus about 7% in the first half, but the comps from last year also get several points tougher as well. So if you could just talk about some of the things you're seeing that give you confidence to back your full year revenue guide.
Ofer Druker: Okay. Thank you, Andrew, for your question. We see -- first of all, we were like in the last 2 years, we were working very hard in order to combine all the companies -- the company that we acquired Amobee and all these different business units. We hired a lot of top managers in order to add talent and knowledge and capabilities into the mix. And I feel that it's starting to kick in. The second thing is usually, we have a certain level of visibility to the market in order to understand like booking and trends and discussions with companies. And we feel secure that in this stage, we can basically reach our targets. We feel -- we believe that it's doable, of course. And we think that as we are doing almost on a weekly basis, we are checking ourselves and making assurance that we are able to touch the targets. The investment that we've done in the last few years in what I just mentioned to -- also to Laura about data -- the technology that is related to data like discovery, our data management platform and so on are helping us to build relationship with more and more companies and to also generate revenues that are related to data and technology. And I think that both that and the regular activity that we are doing around media can get us to our targets. And we feel in this point of time, we feel secure that we can basically reach these targets.
Sagi Niri: Andrew, just to add to what Ofer said, I think Ofer mentioned that we are going now heavily on mobile apps monetization for our advertisers. So we are in a process of signing a couple of big partnerships with in-app and SDK networks, which will affect our ability to grow in the second half.
Andrew Jordan Marok: And then maybe one more, if I could. You've kind of been saying recently that M&A was a lower priority for capital allocation, but the language this quarter kind of suggests that you could be a bit more open to considering M&A than in the past. So is there anything specific changing there? Or is it the case that as you get more interactions with things like the Nexxen data platform and nexAI, the new adjacencies or opportunities are popping up?
Ofer Druker: Thank you, Andrew. First of all, in order to make an acquisition or an M&A, you need to be, of course, clear about strategy and about the ability to already adjust and digest the acquisition that you've done before, and we feel that we did it. So I think that we are ready to look for an opportunity now. I think that we can look now for opportunity now to make an acquisition that will add to us, not technology, not heavy technology. We have the technology that we need. But if we can make an acquisition of additional client base or coverage that we don't have in this market, it can be interesting. And I feel that -- we feel that there is opportunities in the market that can basically be interesting for us. So we are checking it. And we need to remember that we conducted a buyback already in the last few years of close to $0.25 billion -- so we are looking also for use of capital that will not be just buyback, but also making -- generating potential to growth through acquisition that we know and we did it in the past a few times. So we are trying to divest and to grow organically, but also through a smart acquisition that we can basically conduct.
Operator: Your next question comes from the line of Jason Kreyer of Craig-Hallum.
Jason Michael Kreyer: Just wanted to ask for more detail on what you guys see in the opportunity with Google's antitrust loss, likely behavioral remedies being placed on them. And if you think there's an opportunity to perhaps invest more in kind of that open web SSP opportunity as some market share is likely vacated and there's probably more room for you guys to grab share there.
Sagi Niri: I think that -- Jason, thanks for the question. I think there's a lot of assumption and estimation around when and what will be exactly the remedies around the DOJ claim around Google. I think that there's no there's no way that we will not gain from that. To what extent, I don't think that anyone can really estimate and understand. Everybody now understands that probably in the open Internet, there were bids that Nexxen and other players didn't even get the chance in order to bid them. And there were media inventory pockets that nobody other than Google got the chance to win. So the minute the court will decide about the behavioral claims and the other remedies, of course, we will gain from that. Again, I can't really -- first of all, it's not like embedded into our plans, estimation, forecast and guidance, of course. It will be an extra, and that's good. And second, we are, on an ongoing basis, investing a lot into our SSP, both on the infrastructure, technology capabilities and of course, onboarding new publishers and new inventory. We will keep doing that. And hopefully, when the claim will be over, we will gain much more allocation of inventory that now we are not entitled to or not getting into. I hope that, that answers your question.
Ofer Druker: Yes. And we need to remember one more -- one additional point is the time line. So as Sagi said, we know that probably something improving our terms and improving our chance to win more business will happen to tell you that we know when exactly it will happen or we can plan on that. It's hard to say, and we believe that you need to be at your best in order to win more market share, and that's what we are trying to do.
Operator: Your next question comes from the line of Barton Crockett of Rosenblatt.
Barton Evans Crockett: Let me see. One of the things that I just wanted to ask you guys about was on the SSP side of the business, there's been a little bit of noise, I think, injected into the conversation by one of the peers. PubMatic had suggested that there was some type of transition of a major DSP kind of approach that was meaningfully affecting them, causing a big step down in kind of revenue in the third quarter versus the second. and you talked about investing in your SSP business. I was just wondering if you're seeing any impacts from that change that was impacting one of your peers? And just in general, how you feel about the backdrop for that business right now?
Ofer Druker: Thank you for your question, Barton. I think that, first of all, we don't witness this phenomena as was indicated by you right now or by our peers. Again, maybe they feel something that we don't, but we don't feel it. But you have to understand that we are built differently in many ways. What I mean by that, while most of the SSPs are relying on what we call open market or PMPs or relationship that they're building with clients in order to drive revenues, we have also our own DSP. We are end-to-end solutions. So we have very talented sales team on the ground in the U.S. and in other places that are basically pitching clients and bringing their campaigns in. So we dependent on our success on that. And the second thing is our enterprise solution, which is very robust and growing and successful that basically we offer to brands and agencies, mostly independent agencies to adapt our technology and our solution. And we are incentivize them and providing them advantages if they are directing also part of their spend to us. So we are less affected by one DSP or another because we are basically having our own operation that bringing the demand into the platform. And we are very diversified in general around, as you can see, CTV, display, mobile and so on. So we're less affected and we left was exposed to the element that you mentioned in your question.
Barton Evans Crockett: And then if I could just follow up a little bit on the earlier discussion about the second half outlook. So you guys have reiterated your guidance citing in part what you've been seeing so far in the third quarter in the press release, you said that. The second quarter CXT growth rate was, I think, 6%. Obviously, the back half has to accelerate. Are you seeing acceleration in the third quarter specifically? Is that what you're referring to when you say you're reiterating guidance based on what you've seen in the third quarter so far?
Ofer Druker: So usually, the -- of course, the fourth quarter is strong, and we see the growth coming Usually, the acceleration is coming in the end of the summer and until the end of the year. Right now, we see like -- as I mentioned before, we see like a regular trends that we see every year in general in the last 2 years. I'm not saying more than that because the last few years were a little bit different than the past. But we have a strong ability to estimate that we are on the right track according to the behavior that we see now and according to the trends that we recognize in the market. As indicated just now, we are not just dependent on one DSP or another DSP. We also have our own sales team and our own enterprise solution. And from all the indications that we are getting, we are -- we believe that we are on the right track.
Operator: [Operator Instructions]. Your next question comes from the line of Matt Condon of Citizens.
Matthew Dorrian Condon: My first one is just on the exclusive premium inventory that you're getting with the expanded partnership with VIDAA. Can you just talk about what size that opportunity could potentially be for you guys? And how should we think about that ramping in 2026? And then my second question is just on off-platform data licensing. It seems like that's going really well for you guys. Can you just remind us on how big an opportunity you guys believe that, that can be?
Ofer Druker: On your first question, there are 2 types of media that we are getting from -- that we're supposed to get from VIDAA. And of course, there are rationale expectation. One of them is around in-stream because of the TV channels that are basically running on the TVs that VIDAA is managing or integrated into. And the second one is what we call on-platform ads that meaning that the ads are sitting in the -- on the operating system and enabling us basically and VIDAA to show ads to their clients. We are talking here about a massive amount of impressions and opportunities that will spread over the next couple of years. I don't want to touch now numbers because I don't want to mislead you, but I think that in the early next week, when we will -- early next year, sorry, when we'll get like more visibility to the volumes and so on, we will be able to give like a better prediction. But in general, we see the growth. It's millions of TVs that are adding up, and it's a massive amount of impressions and opportunities to show ads. On your second question regarding data and technology, we are starting to see this year like the first fruits of our work in the last few years. We invested a lot of innovation and resources in order to build technologies. We just won DJ award for a cookie-less data platform, the discovery tool. And it shows that basically, we are -- we believe all the time, we manage it and we are saying it all the time that the major differentiation between companies is related to data, meaning the fact that we are able to show and utilize data on the DSP and SSP is giving us a major advantage. And the fact that we own a lot of unique and exclusive data is helping us to be more interesting for clients who looks for activation, meaning targeting and building audiences and measurement. And we have both. We have the technology that we can license to people in order to create like stronger bonds and partnership, and we have the data that we can license. Sometimes we can license just the data, sometimes we can license just the and that's what we are doing. And I see that it's -- we just started this year, but I feel that it can be massive in the years to come for 2 elements. One of them is to get license fees for these solutions. And the other one is in order to encourage more cooperation and diverting spend to basically to our SSP and our platform. So I believe that it's meaningful, and we work very hard because of that in order to build it, it's helping us on the day-to-day, but it's also enabling us to be like a profit center by itself of selling data and platform and also encouraging other people to work with us closely in order to enjoy from these capabilities.
Operator: That ends our Q&A session, and we appreciate your participation. I will now turn the call back over to Ofer Druker, Chief Executive Officer, for closing remarks. Please go ahead.
Ofer Druker: Thank you. So first of all, thank you, all of you. I think that we got into a point that we are able to basically -- to do 2 things. First of all, as we mentioned also in the earnings, we feel that we are basically validate our strategy over the last few years. We see other companies follow the track that we took in order to build an end-to-end solution. Just a reminder, we started that in 2019. We said that basically the line between SSP and DSP will get flared and the center will be -- there will be one platform that can use -- that advertisers can use, and that's why we build our platform in the way we built it, and we added the data platform above that. We feel that this is the time that we are validating our capabilities and our strategy. We feel very secure about it. And second thing is what Barton and other people ask us about here is the fact that over the years, we invested a lot of money and resources and, of course, attention in order to build the platforms, the technology platforms and build the relationship with the OEMs and the operating system of the CTV in order to build the capabilities that can enhance our technology and strategy, but also can become a profit center by itself by licensing technology and licensing data, and we feel that we are on the right track. I want to thank also, of course, all our shareholders and stakeholders, employees that are working very hard night and day in order to make it happen. So thank you very much.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.